Operator: Welcome to Stantec's First Quarter 2025 Results Webcast and Conference Call. Leading the call today are Gord Johnston, President and Chief Executive Officer; and Vito Culmone, Executive Vice President and Chief Financial Officer. Stantec invites those dialing in to view the slide presentation, which is available in the Investors section at stantec.com. Today's call is also webcast. Please be advised that if you have dialed in while also viewing the webcast, you should mute your computer as there is a delay between the call and the webcast. All information provided during this conference call is subject to the forward-looking statement qualification set out on Slide 2, detailed in Stantec's Management's Discussion and Analysis and incorporated in full for the purposes of today's call. Unless otherwise noted, dollar amounts discussed in today's call are expressed in Canadian dollars and are generally rounded. With that, I'll turn the call over to Mr. Gord Johnston.
Gord Johnston: Good morning, and thank you for joining us today. Stantec had a very strong start to 2025, delivering organic growth in each of our regional and business operating units, most notably in Canada with double-digit organic growth. Amid a dynamic market environment, we continue to thrive in a resilient industry driven by macro factors, including water security, aging infrastructure, emerging technologies and the expansion of advanced manufacturing. As a result, in the first quarter, we delivered net revenue of $1.6 billion, up 13.3% year-over-year. This was underpinned by 5.9% organic and 3.2% acquisition growth. With our focus on solid project execution and operational excellence, we grew our adjusted EBITDA by over 19% with an enhanced margin of 16.2%. We also delivered adjusted EPS growth of 29% compared to Q1 2024. I'm also pleased to announce that we started off the year strong on the M&A front with two strategic acquisitions. In early April, Stantec entered into a definitive agreement to purchase Page, a 1,400 person architecture and engineering firm headquartered in Washington, D.C., which delivered over US$300 million in net revenue last year. The acquisition of Page will deepen Stantec's expertise and resources in key growth areas, such as advanced manufacturing, data centers and health care, while adding new capabilities in cleanroom design and fabrication facilities. The acquisition will result in Stantec becoming the second largest architectural firm in North America. It also significantly strengthens our position as the largest integrated engineering and architecture firm. We expect the Page acquisition to close in Q3. We also announced the acquisition of Ryan Hanley, a 150-person engineering and environmental consultancy firm in Ireland, expanding our presence in the country. Consistent with over 145 acquisitions that we've completed over the last 30 years, these acquisitions will deliver strong shareholder value and contribute to the target that we set out in our 2024 to 2026 strategic plan. And we look forward to welcoming over 1,500 talented individuals to the Stantec team. Looking at our results in each of our geographies. In the U.S., we increased our Q1 net revenues by 9.7%, reflecting positive foreign exchange and organic growth of 2.4%. Organic growth was in line with our expectations for the quarter as we had expected some project cycle timing in our Water segment. While we had a major project roll off, we have several new projects, which are set to accelerate in Q2, and we are maintaining our mid- to high single-digit organic growth guidance for the year. Public and private sector investments across our health care, industrial and science and technology sectors contributed to growth in Buildings. Growth in environmental services was mainly driven by our energy transition, mining and infrastructure sectors as well as the continued work for a large-scale utility provider. Momentum on major infrastructure projects continues to fuel strong organic growth, particularly in transit and rail projects in the West and railway design in the East. Overall, activity in the U.S. remains strong and our outlook for the full year remains intact. In Canada, we had a very strong first quarter, growing net revenue by 15% largely underpinned by 12.2% organic growth. The continued momentum on major wastewater solution projects contributed to double-digit organic growth in Water. We also delivered solid double-digit organic growth in Energy & Resources and Infrastructure. E&R was driven by the ramp-up of major power-intensive industrial process projects, and Infrastructure was spurred by transit and rail projects in Eastern Canada, airport sector projects in Quebec and land development projects in Alberta. And our Buildings team delivered high single-digit organic growth through public investments in health care and civic sectors. Finally, in the first quarter, our Global business delivered 20.3% growth in net revenue with 7.5% organic growth and 9.4% acquisition growth. Our industry-leading Water business delivered over 20% organic growth across the U.K., New Zealand and Australia through long-term framework agreements and public sector investments. The ramp-up of new projects in Chile and Peru drove double-digit organic growth in Energy & Resources as the growing need for energy transition solutions continues to drive demand in mining for copper. Now, I'll call over to Vito to review our Q1 financial results in more detail.
Vito Culmone: Thank you, Gord, and good morning, everyone. We achieved very strong results in the first quarter, setting us up for another very successful year. Our gross revenue in Q1 grew to $1.9 billion, up almost 12% year-over-year, and net revenue of $1.6 billion is up 13.3% compared to Q1 of 2024. As a percentage of net revenue, our project margins came in at 54.3%, reflecting solid project execution and a 10 basis point increase over last year. We achieved a very solid adjusted EBITDA margin of 16.2% in the quarter, representing an increase of 70 basis points year-over-year. And our adjusted EPS in the quarter increased almost 29% to $1.16. Turning to our cash flow, liquidity and capital resources. During the quarter, our operating cash flow increased almost 136% year-over-year from $43 million to $101 million, reflecting continued strong cash flow generation, growth and solid operational performance. DSO at the end of the first quarter remained consistent at 77 days, remaining well within our internal target of 80 days or lower. Our net debt to adjusted EBITDA ratio at March 31 was 1.1 times, a further reduction from where our leverage sat at the end of the calendar year at 1.2 times. I'll note that upon closure of the Page acquisition, we expect our leverage to remain well within our internal target of 1 times to 2 times. Gord, with that, I'll now hand the call back to you.
Gord Johnston: Great. Thanks, Vito. At the end of the first quarter, our backlog reached a new all-time record of $7.9 billion. Year-over-year, backlog has grown overall by almost 13%, of which 7.5% was organic growth. Organic growth was achieved in each of our regional operating units with double-digit growth in our Water and Energy & Resources business. Our backlog represents approximately 12 months of work and underscores the continued strong demand to support our clients' most pressing challenges. Turning to some of the major projects we have recently won. In the first quarter, Stantec was awarded a $1.1 billion major upgrade at the Irving Pulp & Paper westside mill in New Brunswick. The upgrade is one of the largest investments project in the Canadian forest products industry and is expected to increase production by almost 66%. We were also selected to lead the detailed design and contract administration on the Dundas Bus Rapid Transit Mississauga East Corridor, which includes over 7 kilometers of bus rapid transit with eight stations. This BRT segment has an estimated project budget of $580 million, which includes design, construction, land acquisition and additional regional utility upgrades to be coordinated to increase construction efficiency. Finally, I'm pleased to announce that Stantec was selected by the city of Vancouver, Washington, to design a treatment system to remove per- and polyfluoroalkyl substances, or PFAS, from a high-volume water station with the goal of providing cleaner and more reliable drinking water for the community. When complete, this PFAS filter system will treat up to 12.2 million gallons per day, making it the largest PFAS project in the Northwestern United States in terms of treatment capability. Despite heightened market uncertainty driven by tariffs, policy shifts and regulatory changes, we remain confident in our ability to achieve our outlook for the year. Trends like aging infrastructure, energy security, water treatment, health care, data centers and reshoring, all continue to drive strong demand for our business. And our diversified business model across different geographies, across five business operating units, each with multiple subsectors, ensures that we're able to capitalize on this demand. Throughout each of our geographies, we continue to see steady levels of bidding activity and forecast mid- to high single-digit organic growth in each of them. In the U.S., we continue to see growth in Infrastructure with IIJA-funded projects, in Water with new projects ramping up in Q2, and we're seeing momentum on the health care front, especially in the Western U.S. In March, the American Society for Civil Engineers released its 2025 comprehensive infrastructure assessment, which highlights that increased funding is beginning to improve the conditions of infrastructure across the U.S. However, the report estimated -- estimates that an additional $9.1 trillion in funding is needed across all infrastructure categories to achieve a state of good repair. And even with current funding levels, including IIJA, a significant funding gap will remain over the next decade. As a result, while some government priorities are changing, we still expect steady investment from the federal, state and local governments as they continue to address these challenges. In Canada, major investments continue to be driven by large scale water projects, transportation infrastructure, including roads and transit, and health care. The federal government's recent economic platform places further emphasis on infrastructure, energy, housing, community development and critical health care. While it may take some time for these additional investments to materialize, we are well positioned to capitalize on the opportunities head. And globally, we continue to see significant opportunities. In the U.K., the GBP 104 billion AMP8 program is starting to ramp up in Q2, and the government's renewed focus on housing and community development is generating new opportunities. In Germany, we continue to see work in infrastructure, specifically in roads and transit. And with the EUR 500 billion fund for infrastructure, defense and energy transition projects, we expect more opportunities to follow. And finally, new frameworks in Australia and New Zealand continue to drive growth in our Water business in these regions. With all of this in mind, we remain optimistic for 2025 and beyond. While we await the closing of the Page acquisition, we're maintaining our current outlook, which includes net revenue growth of 7% to 10% for the year, EBITDA margin in the range of 16.7% to 17.3%, which reflects our continued confidence in solid project execution and operational performance; and adjusted EPS growth to be in the range of 16% to 19%, once again, above our net revenue growth expectations. As we near the halfway mark of our 2024 to 2026 strategic plan, I'm extremely pleased with our performance. We're tracking well against all of the targets set out in the plan, including growth from M&A. With the anticipated closing of the Page acquisition later this year, we will have completed 5 acquisitions since the start of 2024, welcoming nearly 4,500 new employees to Stantec, and we are just getting started. Our M&A pipeline remains full and our balance sheet remains strong. I'm confident that we can achieve our strategic plan target of 50% growth in net revenues to $7.5 billion by the end of next year. As we continue throughout the year, we remain committed to sustainable growth, strong project execution, operational excellence and delivering sustained shareholder value for years to come. And with that, I'll turn the call back to the operator for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Benoit Poirier with Desjardins. You may proceed.
Benoit Poirier: Yes. Good morning, Gord. Good morning, Vito. Just in terms of organic growth for the U.S., you were able to grow organically 2.4%, which is slightly below the consolidated level. Obviously, there's some color in the MD&A, but I was wondering if it's more a matter of a tough comparison versus the double-digit territory a year ago? Or are you seeing some uncertainty south of the border right now? It looks -- the backlog is strong, but just curious about your take on the U.S.
Gord Johnston: Yes. Yes, great question, Benoit. So absolutely, we look at it from a number of perspectives. The first is, as you highlighted there, that coming off a 10% comp a year ago. And a year ago, we were finishing up a really significant water project for a semiconductor fabrication plant. And so that really spiked things a bit a year ago. Now that project is off, but we see a lot of additional projects in the water space and others coming on. We spent a lot of time actually over the last little bit working with our business leaders, business operating unit leaders here in North America just to see where they're thinking, how they're feeling about things. Certainly, they've reiterated their confidence that we will achieve that mid- to high single-digit organic growth, strengthen through the year, and we will see that get there by the end of the year. And as you said, backlog is good and it is up low double digits organically, a little low -- mid to high single digits organically.
Benoit Poirier: Okay. That's great. Thanks, Gord. And with respect to the guidance for the outlook for 2025, it was maintained despite the addition of two acquisition and close to 1,600 people. Is there any reason why you haven't raised the guidance? Is it more a matter of closing or maybe some cautiousness?
Vito Culmone: No, Benoit. Hi, it's Vito. In regards to our base business, excluding the acquisitions, we're off to a terrific start relative to our expectations in the guidance. So the fact we haven't changed the guidance has nothing to do with our degree of confidence, obviously. It's just a normal course with respect to -- we'll let those two transactions close and obviously get another three months under our belt here with Q2. And you can expect us then, obviously, coming out of Q2 to assess our guidance and either narrow or expand or do whatever we need to do. But get another three months under our belt, have these transactions close as we expect on a timely basis, and then we'll give an update to our guidance.
Benoit Poirier: That's what I thought. Okay. Great color, Vito. And last one for me. If you look at the stock price, it's been a great performer year-to-date. Could you maybe remind us about the sensitivity for stock-based comp and whether it's embedded in the guidance?
Vito Culmone: Yes. Now what we've done with our stock-based comp, as you know, we've hedged a certain degree component of it. So on a go-forward basis, you should expect very little variability, if you will, or year-over-year variance related to stock price appreciation. In the quarter, itself in Q1, I think the delta was close to $4 million year-over-year, where last year's LTIP would have been sort of a $7 million charge. And this year, we're in more the $3 million to $4 million. So you can see that it's becoming less noisy than it was in previous years.
Benoit Poirier: That’s perfect. Okay. Thank you very much for the time.
Gord Johnston: Thanks, Benoit.
Operator: Thank you. Our next question comes from Chris Murray with ATB Capital Markets. You may proceed.
Chris Murray: Hi. Thank folks. Good morning.
Gord Johnston: Good morning, Chris.
Chris Murray: Gord, you talked a little bit about the U.S. business. And I was wondering, there has been a lot of uncertainty around the U.S. government business. I know you've got some different aspects in there, certainly a lot of water work, also some other direct government work. Can you maybe give us some color on exactly what you guys are seeing at this particular point, not only on new contract awards but maybe some of the conversations that you folks are having around what to expect around contract renewals on a go-forward basis?
Gord Johnston: Yes. No, great question. So really, in the U.S., we aren't seeing any appreciable impact from this uncertainty. We've seen a little bit of slowing in procurement cycles in some areas in the government. In particular, that would be early in Q1 when they had to reshape their procurement practices a little bit by removing references to DE&I in both procurement documents and evaluation scoring. That sort of has worked through. So we see that we're back into a more normal cadence now. The groups that we're working with in the federal, state and local government aren't those groups that are particularly impacted by some of the budget changes that are being made down there. So our groups are still feeling positive about the projects that we have on the books right now as well as what they foresee coming down the pipe. Interestingly, when we talk with some of our private sector clients there, there was a little bit of uncertainty earlier in the year. Tariffs are on, tariffs are off, a little bit of heightened rhetoric, but that all seems to have calmed down a little bit. The temperature has seemed to have been reduced. So we're seeing a little bit better sense of it from our private sector clients. Again, we didn't see any appreciable uptick in projects that were postponed or canceled. But we're just seeing a little bit more positive sentiment from people. So I think that bodes well for the rest of the year. It makes us even feel better about maintaining our organic growth guidance, particularly in the U.S.
Chris Murray: Okay. That's helpful. Thank you. My other question is just around acquisitions on a go-forward basis. And I'd also like to dovetail this into talking a little bit about ZETCON for a second. So when you acquired ZETCON, certainly, it was a different territory in Germany. But the idea was it sort of gave you a base to try to grow. Even when you get -- I think, some of the other acquisitions done, I think Vito alluded to the fact that you'll be well within your 1 to 2x range, if not, I'll say, probably still to the bottom end of that. So a couple of questions on this. One, how is ZETCON coming? Because I know the integration was a little more complicated than typical. And two, in the German market now, does this give you the opportunity to start growing that as part of the strategy that was at least originally envisioned?
Gord Johnston: Yes. Absolutely. And so when we look at ZETCON, they're performing even better than we had initially anticipated when we brought them on. Great firm, extremely well run. The manufacturing market, of course, as you read in Germany is not as solid right now. But the infrastructure market, particularly with this EUR 500 billion infrastructure bill, is very, very robust. And they have a lot of needs in transportation, rail, electrical distribution and transmission. So we see a lot of opportunities there. But to your point, that exactly dovetails into our initial thesis when we acquired ZETCON is that we would use them as a platform to continue to build on and acquire additional firms in the German market. So we are absolutely looking at those, Chris.
Chris Murray: Okay. And the integration, we're moving along now that you're -- you feel comfortable with where you're at? Or is there still a little more work to do?
Gord Johnston: Yes. The integration of ZETCON, we're taking it a little bit slower, certainly German language issues, German GAAP and so on. So we had initially planned to continue to go a bit slower or to go a bit slower on this one, and we're maintaining that philosophy.
Chris Murray: Okay. I’ll leave it there. Thank you.
Gord Johnston: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Krista Friesen with CIBC. You may proceed.
Krista Friesen: Hi. Good morning.
Gord Johnston: Good morning.
Krista Friesen: Maybe if I could just dig a bit deeper on the M&A. I believe last quarter, you mentioned to us that you're happy with executing in your sweet spot of small- to medium-sized transactions, which clearly you've done since you last reported. Is that where you're still feeling comfortable or where you're still feeling the most interest? Or are you starting to maybe see larger transactions come to market?
Gord Johnston: We -- I think the answer to that, Krista, would be yes to both of them. There continues to be a number of those sub 1,500-, 2,000-person firms out there that we're in active conversations with. But there are a number of those 5,000, 7,000-plus companies that we see that we're coming to market here later this year that we've already had some initial conversations with. So there is opportunities really at both the small and that larger size. And from a balance sheet and a capital perspective, we're -- we'd be very comfortable with transacting on either of those.
Vito Culmone: And Krista, all I'd add there is I think it's not so much the size that is our starting point with our criteria. It really is strategic, cultural fit, geographic, how it fit with our sectors and whatnot. That's the primary lens by which we look at things. And as Gord has alluded to, there's tremendous opportunity both in the tuck-ins, if you will, and some larger ones coming forth.
Krista Friesen: And then maybe if you could just expand on, are there -- I mean you've laid out your kind of longer-term priorities in terms of what areas you'd like to grow on. But kind of in the near term, in your different operating units, are there areas that you're really looking to build out?
Gord Johnston: We're feeling pretty good actually about the overall spread of those business operating units. Now certainly having acquired Page, we probably will not focus on additional buildings or architectural for a while, but absolutely continuing to look for opportunities in the water space, in the infrastructure space, the environmental, and certainly even in our Energy & Resources space, good opportunities, certainly mining making a bit of a comeback there. We're seeing good opportunities. So really, we have a bit of a blank canvas as we're looking at opportunities based on service line. Even from a geography perspective, we see a lot of opportunities for us to -- for continued consolidation in the U.S. But even in the markets outside that we've talked about being active in Australia, New Zealand, the U.K., still looking up in the Nordics a little bit. So a lot of opportunity for us from an M&A perspective.
Krista Friesen: All right. Thanks. Congrats on the quarter. I’ll jump back in the queue.
Gord Johnston: Thank you.
Operator: Thank you. Our next question comes from Michael Tupholme with TD Cowen. You may proceed.
Michael Tupholme: Thank you. Good morning.
Gord Johnston: Good morning, Michael
Michael Tupholme: Maybe just to follow on to some of the other questions you've had about M&A. So thinking about some of the macro and trade-related uncertainty that's existed for a little while now, it certainly doesn't sound like that's having any kind of an impact on your outlook for your business. But I'm just wondering if in terms of M&A opportunities, has that affected the M&A landscape in any way, shape or form, whether that be from a seller perspective or buyer perspective? And has it in any way changed your views on what regions you might be interested in? I realize you're taking a longer-term view here, but not sure if there's been anything going on in any particular regions or heightened uncertainty that's affected the views around regional M&A opportunities?
Gord Johnston: Yes. No, great question. As we've looked at -- your comment about long term is exactly where we're thinking about things. We -- a lot of the firms that we've been talking about, we've partnered with them. We've been working with them for years or decades in many cases. And so we're looking at good firms and good markets from a long-term perspective. Have we seen some uncertainty here over the last quarter? Absolutely. But these are our firms that we haven't seen any rapid adjustments to valuations and -- over the quarter. And if we had, we might see some things strengthening a bit, as coming back up. So it really hasn't changed our outlook, Michael. We just continue to take that long-term approach, making sure it's value-accretive and it's -- we're going to do the right thing for the company that we're acquiring and for Stantec overall.
Vito Culmone: And Michael, I would say from a seller's perspective, nothing fundamentally has changed. When you sit back and you look at why are companies coming to market, the themes around smaller firms and how this industry is going to evolve from a technology perspective and the investments required, clearly, smaller firms have a scale-related issue with that or challenges with respect to that. Valuation is still continuing to be robust in our industry, presents dynamics for them as they think about succession. So bigger picture from a seller's perspective, nothing has really changed, perhaps even accelerating.
Michael Tupholme: Okay. That's all very helpful. Thank you. Next question is just about the Energy & Resources business operating units. So that was an area that in 2024 you had seen some negative organic growth, and I think you were calling for it to turn positive in the first quarter, which it didn't. I think in the first quarter, it was actually your strongest unit from an organic growth perspective. Just wondering if you can talk a little bit about that shift and that change and exactly what's driving that now and how you see that evolving over the next coming quarters?
Gord Johnston: Yes. So we -- the world of E&R is kind of unfolding as we have thought. You're right, 8.3% organic growth in Q1. But backlog is also up organically low double digits in that group year-over-year. So that's kind of -- we saw a lot of strengthening, particularly in the mining space. You've heard some of the talk about some of the large projects that we're doing from an industrial process perspective, energy transition, grid strengthening-type work, really strong copper. We've had a number of copper projects move forward because of the need for copper to support the transitioning. So we're actually feeling really good about that space as we move forward. Backlogs continue to be to be strong and customer sentiment is solid. So we're feeling good about that. We see strong continued organic growth in that business throughout the year. Albeit we're coming off some lower comps for the next couple of quarters, but we do see strong organic growth.
Vito Culmone: Very pleased with that growth.
Michael Tupholme: Okay. That's helpful. Thanks very much. And then just one last one. The margin performance in the quarter was obviously quite strong, up 70 basis points, I think year-over-year in terms of adjusted EBITDA margin. Does that -- is that in line with what you were expecting? Is that becoming a little stronger? And how do we think about what that means as far as where you're likely to land on a full year basis?
Vito Culmone: Yes. Michael, you saw that when we provided guidance, obviously, for our margin profile with our year-end results late in February, we expanded the range there, and we expect year-over-year improvement. We're very pleased with how that's working its way through here in the early goings of the year. And that's just kudos to the entire organization, the operations and the support teams. When you look at the year-over-year improvement, 16.2 bps this year versus 15.5 last year. That's what you were referencing, the 70 basis points, really comes from three or four key areas. It all starts with project margin, of course. I mean that's key to us, and that was up about 0.1 effectively, as you saw. We had lower admin and marketing. So that's a whole bunch of -- it's a game of inches when it comes to that. That's utilization, that's labor, that's discretionary spend. And we did have a smaller impact there on a gain on sale of equities, which wasn't significant at about $3 million year-over-year. But overall, very pleased with the performance of where we're tracking both on solid execution of project margins and overall demand and then how we are fulfilling that through our corporate services and all the other aspects of our discretionary spend. So pleased with the start we have for the year.
Michael Tupholme: Got it. I’ll leave it there. Thank you.
Operator: Thank you. Our next question comes from Maxim Sytchev with NBF. You may proceed.
Maxim Sytchev: [indiscernible]
Gord Johnston: Good morning.
Maxim Sytchev: Obviously, we're seeing federal elections in Canada and Australia seems to be sort of normalizing a little bit. How do you think about sort of continued demand from these two geographies as there still seems to be a lot of support for infra spending? I guess my question is, can we actually see further acceleration, especially in Australia that's been a little bit more sluggish? Thanks.
Gord Johnston: Yes. So you're right, the little -- quite a few elections so far this year. It made some changes for us. When we look at Canada and the platform that Prime Minister Carney ran on with the supportive infrastructure, that feels really good for us. You're right, our Australia business infrastructure, a little bit slower at the first part of the year, but we do see it strengthening through going ahead and we -- certainly as the year progresses, many of our -- we've heard some commentary from a number of our peers sort of feeling the same way. But in the same way in the U.K., they've recently introduced that U.K. Planning and Infrastructure Bill, which isn't passed yet. But if it does, again, more support there for nationally significant infrastructure projects, building 1.5 million new homes, process improvements to make the things smoother. They're all directionally positive for us. So whether it's the U.K., whether it's Australia, whether it's Canada, we've seen some good directionally positive announcements and movement over the next little -- last little bit.
Vito Culmone: And Gord, all I'll add is in Australia, Water continues to be really, really strong.
Gord Johnston: Oh, extremely strong in Australia and New Zealand, yes.
Maxim Sytchev: Okay. No, that's good to hear. And then in terms of U.K., the ramp-up around AMP programs, how is that tracking in terms of kind of the curvature of acceleration? Where we are in terms of that spending bucket? Thanks.
Gord Johnston: Yes. So AMP8 officially started in April. And so -- and of course, you've seen the considerable increase in the -- over 75%, I think it was, the increase in the overall funding. So as we've talked about for the last several quarters, we're actively ramping up hiring, taking real estate, getting ready to deliver on the additional work that's coming our way. And it is sort of tracking as we would expect, Max. We're seeing the additional work orders coming through now and keeping our folks really busy over there. So directionally, the AMP8 program is unfolding exactly as we had anticipated that it would.
Vito Culmone: 100%.
Maxim Sytchev: Okay. And Vito, I guess the follow-up question for you, because, again, as you were doing this hiring, I presume revenue was less robust from these programs. Does it mean that the operating leverage should start to kick in, in Q2 and Q3? Or am I just being too tactical here?
Vito Culmone: And you're referring to the U.K. in particular, Max?
Maxim Sytchev: Yes, yes, yes.
Vito Culmone: Yes. No, I think -- well, I think overall -- and maybe this dovetails back to the earlier question around our margin and whatnot. I think, obviously, as we continue to expand and the organic growth of the acquisition, I think scale and operating leverage just continues to be a major area of focus for us. The entire organization is focused on that. And we'll see that flow through our results as we move forward.
Maxim Sytchev: Okay. Excellent. Thank you so much. That’s it from me.
Gord Johnston: Thank you.
Operator: Thank you. Our next question comes from Devin Dodge with BMO Capital Markets. You may proceed.
Devin Dodge: Hi. Good morning, Gord. Good morning, Vito. I wanted to start with maybe data centers. There's been some questions about the growth outlook there after one of the large tech companies pulled back its CapEx budget. Look, from a Stantec perspective, I believe your backlog for data centers continues to increase. But just wondering if you've seen any evidence of slowing growth from this market when you look at earlier-stage bidding or RFP activity.
Gord Johnston: Yes. We really haven't at this point, Devin. We think that data center market continues to be robust for us. But the one thing that -- of interest to note is, I think in our previous call, we said that that represents 2% to 3% of our overall revenue. So it continues with that overall diversification model of Stantec that -- to the upside, we'll certainly take additional work as it comes, and we could perhaps double the size of that. But if a downturn comes, it's not really material to us as it is for some other firms that are heavily, heavily exposed to it. So we feel good about it. Certainly, we want to ride the wave on the way up. But if it does slow, we don't see it being an overhang for us.
Devin Dodge: Okay. Good context. Thanks for that. And then just second question, it might be early days here, but there seems to be an improving backdrop for energy-related investments in Western Canada. Just wondering if you started to see more RFPs or inquiries from some of your midstream customers?
Gord Johnston: Absolutely. Yes. We're having a number of discussions and ongoing talk about this project or that project or which one might be supported or come back to market. Still early days, but certainly, that increasing sentiment and those ongoing discussions, we feel very positive about.
Devin Dodge: Okay. Thanks for that. I’ll turn it over.
Operator: Thank you. Our next question comes from Jonathan Goldman with Scotiabank. You may proceed.
Jonathan Goldman: Hi, good morning, team and thanks for taking my questions. Maybe just circling back to the margin conversation coming at it a different way. You maintained the guidance, which seems to apply back nine months improvement of 10 bps year-on-year. You just did 70 in the first quarter. And it seems like the reasons you described were just solid execution, things that can actually be maintained for the balance of the year while we're adding a utilization of labor. So is there some conservatism baked in there? Or why wouldn't we think improvements could be sustainable through the balance of the year?
Vito Culmone: Yes. I mean, again, any time you're providing full year guidance at the outset, a lot of moving pieces. But I think from an overall sentiment perspective, Jonathan, what you're describing, we don't expect to be giving any gains back in a way. It doesn't mean we'll carry 70 bps all the way through the year sort of thing. But I would look at Q1 and consider that an indication of the pacing of the business, for sure. And again, we'll get another three months under our belt. We've got meaningful acquisitions coming through the back half that we'll need to obviously digest and understand. The cost structure of that and how it moves through, we got a pretty good handle on that already. Obviously, we understand that well. So just be patient for the update here at midyear. But by all means, I share your enthusiasm around what's possible.
Jonathan Goldman: No. Fair enough. And that's good color. And we did have a pretty fulsome discussion already about M&A, but on sellers, have you noticed them being a little more hesitant to consummate a deal? So maybe the environment is still the same valuations, incentive to close, but things getting drawn out a bit longer?
Gord Johnston: No, we haven't -- we actually have not experienced that at all. The two that we announced this year, so far, we executed exactly as per our schedule. In fact, we had talked about when the Page one came out the day that we announced and ended up being when President Trump had Liberation Day. So we had talked about should we delay it just not to go on that day. But again, we thought longer -- bigger picture, long-term perspective, we're going to move forward with our schedule as it is.
Jonathan Goldman: No great. And it's good to see. And then maybe, I guess, one more, Gord, I guess, from a high-level perspective. Have you had a chance to look at Trump's proposed mini budget? And did you have any takeaways for the IIJA or infrastructure spending in general in the U.S.?
Gord Johnston: Interestingly, on IIJA, in general, I think we've commented on past calls that we've been engaging with some discussions related to what an IIJA 2.0 could look like. Those discussions -- sort of in the first several months of President Trump's presidency, those have slowed a little bit, I think just as people are taking stock of where we are and what are the priorities of the new administration. So you heard us talk in the prepared remarks today about the -- while the state of infrastructure has improved a little bit from the last infrastructure report card, the amount of funds required to continue to improve it has actually increased as well to over $9 trillion. So certainly, the need is there. But the discussions at this point in the first several months have slowed a little bit. But I anticipate that those will pick up near the back half of the year.
Jonathan Goldman: Okay. That’s great color. Thanks again, guys. Good results. I’ll get back in queue.
Gord Johnston: Thank you.
Operator: Thank you. I would now like to turn the call back over to Gord Johnston for any closing remarks.
Gord Johnston: Great. Well, thanks to everyone for joining us this morning. Thanks, operator. So in summary, we started the year off really very, very positively here in Q1. We feel good about our forecast for the rest of the year. And if you have any follow-up questions following today's call, please reach out to Jess Nieukerk, our VP of Investor Relations. And have a great day, everyone.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.